Chowdhury Tazrian Israt: Good morning, everyone. Welcome to Grameenphone's First Quarter Earnings Call for the year 2024. I'm Chowdhury Tazrian Israt, the Head of Investor Relations. Joining me on the call today are Mr. Yasir Azman, our CEO; and Mr. Otto Risbakk, our CFO. 
 Please note, in consideration of local regulations, we'll not be providing any forward-looking statements during the call. Our earnings release, financial report and other documents related to our results, can be found in the Quarterly Results section of the Investor Relations website. [Operator Instructions] 
 With that, let's get it over to our CEO, Mr. Yasir Azman, to tell us about our results. 
Yasir Azman: Thank you, Chowdhury Tazrian, and good morning, everyone. Thank you for joining us for our Quarter 1 2024 earnings call. I'm Yasir Azman, Chief Executive Officer of Grameenphone. 
 As per our regulator's report, till February 2024, the telecommunications industry has reached 191.4 million subscribers, increasing by 0.6 million subscribers from December 2023. During the same period, mobile data users decreased by 1 million, reaching 117.5 million in February 2024. 
 Moving on some of our key business highlights for the quarter, Owing to the rise of emerging technologies and evolving needs of our customers, we have advanced our network capabilities focusing on a progressive and future-ready network that is equipped to cater personalization at core and revolutionize the digital landscape. 
 We have continued our efforts to remain the most reliable connectivity partner that can seamlessly accommodate future capabilities for a smarter tomorrow. 
 Our primary objective in revamping our portfolio was to prioritize on increasing customer satisfaction by implementing innovative features and streaming offers for a more convenient experience. This is what we did in Q1 in this year. 
 Our value-driven initiatives had elevated overall experience and engagement on our network, resulting in 15.2% year-on-year growth in 4G data users this quarter. [indiscernible] to build a digital infrastructure to transform from telco to telco tech company. And in the process, we are digitally and diligently building digital assets and making strategic partnerships with different digital players within country and global partners. 
 136% higher data usage has been reported this quarter from digitally engaged customers with more than 24% DSTR contribution from digital channels. Grameenphone has received unified license this quarter, which is a big milestone for us and for the industry, which amalgamates existing licenses, 2G, 3G and 4G and includes a scope for 5G and beyond services. 
 We over heartedly -- wholeheartedly welcome this timely initiative and express our deepest gratitude to all the concerns, including our regulatory body and telecom ministry. Looking at the future dominated by smart devices, AI and connected technologies will be able to concrete an ecosystem, which will serve to make our customers life, I believe, safer, healthier and happier. 
 As we move forward, we are still facing macroeconomic challenges as we're all aware of like rising energy costs, broader inflation and particularly dollar crisis. However, we remain persistent in our efforts to address this situation and manage to deliver on top line and EBITDA, demonstrating our unwavering commitment to growth. 
 Starting up on some of the key macroeconomic updates. Point-to-point inflation is around 9.8% as prices of goods and services stayed high, straining the purchasing power of our customers. Electricity prices have been increased from 1st of February after 3x increase in last year. 
 As per the latest global economic prospect, the World Bank has projected GDP growth to slow to 5.6%, which is unchanged from it's October update. As per our Central Bank, the foreign exchange result of Bangladesh have gone above USD 20 billion as of March 2024. 
 On the regulatory front, on 12 November 2023, in alignment with BTRC, GP served further time at the court on BTRC Audit and next date has been fixed on 29th September, 2024. The floor price restriction on stocks of Grameenphone was withdrawn on 3rd March, 2024 through a directive issued by the Bangladesh Securities and Exchange Commission, hence, regular trade has resumed now. 
 Now let's delve into detailed aspect of our business for this quarter. Focusing on growth through #1 network and industry-first initiatives, our focus on network investment has resulted in significant progress through spectrum deployment, site rollout and addition of sales to increase capacity. 
 We have more than twofold increase in fiber connectivity to 41.5% in the past 2 years, which is extremely important when we move out to more data-centric business model and digital-centric business model and get ready for the future, and have rolled out over 21,000 total sites. 
 Driven by our commitment to create a smart Bangladesh, we inaugurated our fast Tier 3 standard data center in Sylhet, a technological marvel that can set new benchmarks for our network. This future-ready infrastructure is our commitment to putting our customers first in every aspect of our work, guaranteeing a future of technological progress and reliability in delivering superior customer experience. 
 We have introduced [indiscernible] offerings in the market, solidifying our position as a leader at the forefront. Our GPStar program has won a long journey from only 350 Dhaka-centric outlets to over 7,000 nationwide outlets right now as we talk about. We have introduced the first ever truly unlimited data offers for our customers so that they can stay connected no matter what and where. We are proud to be the first in the industry to offer access to an impressive 10 OTT platforms combined with unlimited data plan, demonstrating our commitment towards innovation and attaining our first in the telco content industry in Bangladesh. Our growing number of subscribers can attribute it to our innovative revamped offerings and efficient churn management strategies, resulting in a subscriber-base increase of 2.9 million year-on-year to 83 million this quarter. 
 The digital landscape is experiencing a substantial growth, bringing with it immense potential, higher adoption of digitally engaged customer has been seen throughout the online platform, resulting in more than 1/3 of revenue flowing through this channel, one target. 
 The next -- the new digital services complementing our -- obviously, our core business. We have successfully established ourselves as an integrated digital operator, identified by leveraging the valuable digital assets that we have diligently built. Our flagship channel, MyGP, continues to be the largest local app in Bangladesh with 8.2 million active users driving continuous growth through its enhanced capabilities. The improved version of MyGP 5.0 provides customers, the convenience of recharging without even Internet, recommends backed based on artificial intelligence, machine learning capability and has many other advanced features. 
 We have launched wellness broadband solution, gpfi, to redefine and elevate some of our home Internet services, offering a holistic solution for families, seeking uninterrupted connectivity and entertainment. In the first phase of this journey, we have launched our services in Dhaka and Chittagong regions and we'll continue to grow throughout Bangladesh eventually. 
 With the launch of 20 new innovative IoT product across various categories, this is the first time probably I'm reporting. We are leveraging on the limitless capabilities of technology and embracing a smarter way of living by introducing this range of IoT solutions. We aim to address various concern with the smart home and office solutions as well as industrial applications in the future. 
 We continue our streak of being trail readers in the telco-content industry within Bangladesh by expanding the OTT partner portfolio, selling direct subscription to GP and non-GP users, partnering with various local and global and regional OTT players. Additionally, the OTT access has been bundled with ATL packs and gpfi for customers to enjoy top-notch premium content with best data offers. 
 Introduced country's first cross-platform app marketplace, AppCity, aiming to transform the digital landscape. The platform connects app developers and purchasers with both B2C and B2B customers and functions as both an App Store and API hub connecting content providers and application developers with individual and corporate customers. So while building on a resilient and a stronger network to deliver on our core growth, at the same time, this has been a journey to bring in new and innovative products and services in the IoT space, ICT space and of course, AppCity. And on top of that, partnering with local, global and regional players to bring in OTT services, bundling with OTT [indiscernible] and analytics capabilities. 
 So I'll move on to talk about a little bit of building a sustainable future that we have been always reporting every quarter. In Grameenphone, we understand our responsibility towards the environment, society and economy at large. We are deeply committed to building a sustainable future and making positive difference in the communities we serve.
 Our belief in sustainability goals is not just limited to ourselves, but we also strategically partner with businesses that share our values and actively support environment, social and governance initiatives. As of March 2024, 60% of our total spend to our suppliers are with partners who commit to reduce carbon footprint. We are committed to this. Grameenphone conducted a public private roundtable discussion, greening the grid to promote policy reforms concerning corporate power purchase agreements in Bangladesh, which is essential for aiding to our decarbonization goal. 
 In our pursue to purchase renewable energy, we have signed a memorandum with USAID to collaborate to developing a policy framework for CPPA, Corporate Power Purchase Agreement in Bangladesh that will enable businesses to purchase electricity directly from renewable sources without solely relying on traditional power utilities.
 Online safety program, which we have been running for quite some time, has always remained a key priority in our effort to build an inclusive digital future. We have trained more than 184,000 children and 3,000 teachers from marginalized community on online safety and digital literacy during this time.
 To continue the education on online safety and digital skills, we extended our reach to the farthest corners of the country through collaboration with Bangladesh Community Radio Association, ensuring on community -- no community is left behind.
 In line with our vision of promoting gender equality in the society, marginal women from 378 unions were educated on the endless possibilities of the Internet and digitals where through our initiative, Internet Er Duniya Shobar. We have been also making continuous efforts towards accelerating the nation's future economic growth by enhancing the skills and potential of the youth. With this intent, GP Academy has recently introduced 5 new courses on freelancing.
 Futurenation has held master classes in 18 universities to enable students with relevant skills, provides access to employment opportunities and Empower team to embark on entrepreneurial endeavor. We believe into a sustainable society, and we are committed on our social impact projects and take the sustainability environment and governance initiatives forward with even stronger commitment in coming days.
 I will now welcome our CFO, Otto, to take you through our financial performance for the quarter. Otto, over to you. 
Otto Risbakk: Okay. Sorry. Sorry. Yes. Sorry for -- I was muted. So I -- so welcome to everybody on this call and pleased to see that so many are connected. So let me start the presentation of the financial part.
 I'm very pleased to report a strong start of 2024. Before I comment on the first quarter, let me recap the main trends and the macro environment at the beginning of the first quarter in '24. In Q4 '23, as you may recall, we delivered the best quarter of 2023 with 6.9% subs and traffic growth and solid financials.
 Towards the turn of the year, however, we saw a significant cooling of the economy due to a series of factors, including inflation and global tensions impacting energy and currencies. And that was leading to an industry-wide drop in data consumption in the last quarter of the year and a slow start of this quarter.
 I'm now pleased to see that the economy is picking up and that the business momentum has improved steadily during the first quarter this year. Our first quarter financial results reflect the positive momentum and Grameenphone continued to deliver a solid financial performance in the first quarter this year. This was the 12th consecutive quarter of growth and top line growth and EBITDA growth.
 If I look at some of the key metrics this year to give you the highlight, the S&T revenue this quarter grew at a solid 5.2% and thanks to our relentless focus on operational excellence and strict financial discipline, EBITDA margin stood at a strong 60.8%, industry-leading margins in Bangladesh and even globally.
 Our robust balance sheet, with no debt and strong cash flows, enabled us to continue to invest in growth and innovation and provides a solid basis for attractive and predictable dividends.
 Reported EPS for the quarter -- this quarter stood at BDT 9.91 from higher EBITA -- EBITDA and reversals of certain provisions, one-off tax provisions that I will explain later.
 So now talking about the subscriber base. After a slower Q4 last year, I'm pleased to see that our subscriber base returned to solid growth from higher gross adds and better churn management.
 In total, we added 2.9 million subscribers to reach 83 million, a growth of 3.6% year-on-year and 1.2% quarter-on-quarter. I'm particularly encouraged to see the development of our 4G subscriber base, supported by constant efforts to improve the performance of our leading network, 4G subscribers increased by 5 million or 15.2% to 38.2 million. Grameenphone continues to lead the industry with the highest number of 4G data users.
 The number of data users, which also include feature phone subscribers using data, grew by 6.5%, reaching 46.3 million. In total, our 4G subscriber base now represents 46% of the subscriber base, up from 41%, 1 year ago. As a reference, the average 4G penetration in Southeast Asia is above 70%. And in mature markets, it's above 90%. This indicates there is -- that there is still a significant upside from 4G penetration growth in Bangladesh.
 So now a few words on the revenue growth. It is good to see that the subscriber growth translates into solid revenue growth and that the growth comes from both subscriber growth and ARPU improvements. In the first quarter this year -- the first quarter this year's was the 12th consecutive quarter of growth, both in total revenue and subscription and traffic revenue.
 During the quarter, year-on-year total revenue was up 5.3% and subscriber and traffic revenues were up 5.2%. Behind the growth, we see a positive development in all revenue drivers, including subscriber growth, higher ARPU and higher data usage driven by the increase in 4G subs.
 So let me, in the next slide explain a little bit more about those details. During the quarter, the service ARPU increased by 1.7% compared to the last year. The year-on-year growth in service ARPU is mainly driven by the contribution from higher data consumption and demand for our digital products.
 We also see that the product portfolio revamp implemented during the quarter, reducing the number of products by almost half and including a significant simplification for customers has been very well received by our customers.
 With regards to data, during the quarter, Grameenphone data users consumed an average mega [indiscernible] use of 7 gigabytes at 9.8% growth versus last year. After the drop in Q4 last year, we are pleased to see that the growth is now coming back, and we see very good momentum going into the second quarter of 2024.
 The year-on-year growth in data usage is supported by a better macro trend after the election and the winter call, but also through industry-first innovative market offerings, creating better value for our customers as well as continued network improvements from site expansions and capacity improvements.
 Now let us see the EBITDA development. In Q1 2024, Grameenphone delivered a 12th consecutive quarter of growth in EBITDA despite challenging macro situation due to global political tension, inflation pressure and the cooling of the economy. Grameenphone's EBITDA increased by 5% in the first quarter while maintaining a strong margin of 60.8%.
 I'm pleased to see the resilience of our operations and our strong ability to mitigate increased cost pressure from rising inflation and energy cost through our relentless focus on operating efficiency, financial discipline and automation.
 Reported OpEx for the quarter stood at BDT 13 billion, a growth of 7.9% year-on-year, primarily completed by the hike in energy prices, higher sales and marketing costs and higher variable regulatory costs. The increase in sales and marketing, regulators mainly come from the higher sales and higher volume of gross adds.
 Now the net profit. Supported by the positive top line development, some financial discipline, resulting in a healthy 5% EBITDA growth, a strong balance sheet resulting in lower finance costs and a one-off reversal of certain tax provisions. The reported net profit for the quarter stood at BDT 13.4 billion, a growth of 72% versus last year and a margin of 24%. Excluding the one-off in the first quarter, '24 and also the certain one-offs in the first quarter of '23, the growth in net profit after tax was 13%. The net profit after tax of BDT 34 billion translate into a record high BDT 9.11 EPS for the first quarter of '24.
 If we now look at the cash flow and balance sheet parameters, the cash to operating cash flow for the quarter stood at BDT 16.8 billion, a year-on-year growth of 5.6%. As you have seen from the previous slide, the operating cash flow growth comes from the healthy top line and EBITDA growth. The Q1 cash flow growth is partly offset by higher CapEx as we normally try to frontload the yearly CapEx program to the first 2 quarters of the year.
 On the right side of the graph, you can see that the net debt stood at a record minus BDT 18 billion as of the first quarter. This balance is composed of BDT 3.6 billion short-term bank loans and [ BDT 21.3 million ] cash balance, excluding restocking cash. Thanks to the solid cash flow and strong balance sheet, we are able to adopt a long-term view with regard to investments and innovation and also to maintain an attractive shareholder remuneration policy.
 So summing up, I am very pleased with the good performance in Q1 despite a challenging macro environment at the beginning of the quarter. We entered now Q2 with a good momentum supported by a stronger macro and model network, which has never been better, a very attractive and innovative product portfolio, which has been very well received by the customer. 
Chowdhury Tazrian Israt: Thank you, Otto. Now let's hear it from our CEO, Mr. Yasir Azman, on the summary for this year's Quarter 1,, 2024 earnings call. 
Yasir Azman: Thank you, Otto and Tazrian. Coming back on the summary of the 2024, Quarter 1 earnings calls with a strong financial performance. We see, although the macroeconomic headwinds continued to challenge us, we remain focused on our strategy and forged ahead with our investment plans to support our growth opportunities, strengthen our partnerships and improve our operations, all of which contributed to the great results we see today.
 We are building new data centers and taking our technology excellence near to the customers to continue to be the most reliable connectivity partner in Bangladesh. On top of connectivity, customer-centric innovation remains at the core of our initiatives.
 From the industry-fast offering to IoT solutions, strategic partnerships with content providers to home broadband services, we provide a spark of innovation that connects people to greater possibilities and build new business opportunities for Grameenphone and create opportunities for our shareholders and with the guidance of [indiscernible] and regulators.
 Our delivery and focus enforce towards nurturing diversity in our workplace and promoting inclusivity have greatly contributed to create a more dynamic work environment. As of the first quarter of 2024, the percentage of women in the total workforce reached up to 19.8%.
 Privacy is one of the biggest concern in this age of machines and rapidly growing era of sophisticated technologies. We understand the need for robust cybersecurity defenses across the company for which we continue fortifying our defenses, building resilience and remain resilient against evolving cyber threat.
 Grameenphone, as we reported earlier, in the same quarter, we built and strengthened our core services. We brought in innovative product and service to the market and preparing for the future. On the other hand, we continued our effort to deliver on our social commitment through strong social impact projects.
 With that, I thank you again, everyone, and we'll turn it to Tazrian for a Q&A session. Tazrian? 
Chowdhury Tazrian Israt: Thank you. Thanks to both of you for the wonderful presentation. We'll now be moving on to the Q&A part of the call. [Operator Instructions] We have a question. The first one is why GP is not getting back its subscriber market share? Azman, would you like to take that? 
Yasir Azman: Yes. Yes, let me take it. We are actually growing. We are growing in subscriber base. We are growing in quality subscribers, and we are growing our 4G subscriber base in a very robust way. And at the same time, others only focusing on aggressive subscriber acquisition, GP obviously, is focusing more on improving the network experience, increasing ARPU with the existing subscribers, bringing in new services to the existing subscriber along with consistency for to simplify the products and improve the digital experience so that we can ensure that offerings are more focused and effective in meeting our customers' evolving needs.
 We don't need to forget that we have a large customer base that demand new product and services. As a result, GP delivered improved top line growth in Q1 2024 compared with last year Q1 growth. And as I mentioned at the beginning, we are growing in our subscriber base. Thank you. 
Chowdhury Tazrian Israt: Thank you. We are waiting for questions. There is another question. What leads to the year-on-year 8% OpEx growth? Otto, can you take that? 
Otto Risbakk: Yes. Okay. Yes. So the growth in OpEx is driven by certain -- primarily by energy cost and by the volume, the growth -- the top line growth. So if I take the energy costs, as you know, the electricity price was increased in February this year. And additionally, we are constantly building out our network, leading to higher consumption. So energy is one of the 3 major drivers.
 We also had higher cost in sales and marketing, primarily driven by the growth that Azman was referring to. And finally, revenue share, that is a pure mathematical thing that when we have top line growth, we also have a higher revenue share. So basically, these are the 3 main elements of the OpEx growth.
 We have, at the same time, done a series of measure to mitigate the costs. So that I'm very pleased to see actually the result of 7.9% growth. 
Chowdhury Tazrian Israt: Thank you. There is another question on our portal. Any explanation regarding previous year's tax adjustments? Otto, over to you. 
Otto Risbakk: Yes. So the tax adjustment is relating to the new Income Tax Act in 2023. As you may recall, on the 22nd of June last year, the new income tax asset was introduced in Bangladesh, replacing the previous Income Tax Ordinance of 1994.
 And due to some ambiguity in some of the new provisions in the new tax act, GP, we decided to make certain provisions in 2023 related to this and in line with IFRS. And then upon receiving a further clarification on the act now in this quarter, we were able to reverse this provision. So these provisions was made based on our conservative application of IFRS, and we don't -- we see that now we can reverse it. 
Chowdhury Tazrian Israt: Thank you. We don't have any other questions at the moment, but let's just wait for a minute, if we have any.
 Okay. I think we have another question here. How do you see the potential of 5G rollout in Bangladesh and GP's priority in this regard? I would request Azman bhai to answer it. 
Yasir Azman: Would you please repeat the question, please? 
Chowdhury Tazrian Israt: How do you see potential of 5G rollout in Bangladesh and GP's priority in this regard? 
Yasir Azman: We don't give any forward looking statement as far as any development, any investment. However, what we see, is like the network we are building today is basically 5G-ready. As I mentioned earlier that we have doubled our fiber connectivity in the country, which is now -- within the last 2 years, which is now -- which has crossed 40%, 41.8% level, which is an -- also is a readiness for future and for 5G.
 In case of -- obviously, when you talk about 5G in Bangladesh, we really need to be very precise on that one. That we need to find out the use cases for 5G, for our general customers, we need a very strong 4G network. But in case of airport, ports like some industrial solutions, we need to build use cases and those will be delivered through 5G in time.
 We have very good network of different business units in the advanced market, in the European markets. There are certain use cases has already been implemented and going to test and trial. And we are constant in learning and preparing ourselves when the time will come to bring this out to our customer or more specifically to our enterprise clients. 
Chowdhury Tazrian Israt: Thank you, Azman bhai. And with that, we would be ending the call for Quarter 1. If there are any other questions from your end, please reach out to me via text or e-mail, and we'll get back to you on them shortly.
 Thank you, everyone. 
Yasir Azman: Thank you. 
Otto Risbakk: Thank you.